Shannon Drage: Thank you, Matt, and good evening. We welcome you to this conference call to discuss our 2024 Fourth Quarter and Full Year earnings. My name is Shannon Drage, Senior Director of Investor Relations. I would like to remind you that during this call, we will be making forward-looking statements, although actual results may differ materially. We encourage you to review the disclaimer in the press release or Slide 2 of the presentation, dealing with forward-looking information and the presentation of non-GAAP measures, which applies equally to statements made during this call. A copy of the earnings release as well as the presentation are available at zionsbancorporation.com. For our agenda today, Chairman and Chief Executive Officer, Harris Simmons will provide opening remarks. Following Harris' comments, Ryan Richards, our Chief Financial Officer will review our financial results. Also with us today are Scott McLean, President and Chief Operating Officer; Derek Steward, Chief Credit Officer; and Chris Kyriakakis, Chief Risk Officer. After our prepared remarks, we will hold a question-and-answer session. This call is scheduled for 1 hour. I will now turn the time over to Harris Simmons.
Harris Simmons: Thanks very much, Shannon, and good evening, everyone. I'd like to start-off our call by acknowledging the devastating wildfires, which started in Southern California earlier this month and continue to impact so many people. Our focus continues to be on the safety and well-being of our colleagues, customers and their families. We've been fortunate there have been no reported injuries or property loss on our people. And we're grateful for the first responders and charitable organizations who are working to protect so many people and to assist them in getting back on their feet. As it relates to anticipated credit losses related to damage from the wildfires, we have a very limited amount of residential exposure in the burn zones, due to insurance in place, we anticipate any losses or credit tax to be minimal. We have programs in place to work with borrowers that may need payment restructuring into the fires. Based on past experience with similar natural disasters, we expect any losses to be very low. Shifting now to performance. Key metrics for the year and the quarter are presented on Slide 3. We're pleased with the continued improvement in our financial performance relative to the fourth -- relative to the prior year. Fourth quarter adjusted pre-provision net revenue, which excludes most notably the impact of the FDIC special assessment for the 2023 bank failures, increased 19% relative to the prior year quarter. Net earnings for the year were $737 million or $4.95 per share. For the fourth quarter, earnings were $200 million or $1.34 per share. The net interest margin expanded for the fourth consecutive quarter, primarily due to interest-bearing liabilities repricing downward faster than earning asset yields. The margin was 3.05% for the quarter compared to 3.03% in the prior quarter and against its trough of 2.91% in the year ago quarter. Our efficiency ratio improved to 62%. As Ryan will highlight later, our guidance for 2025 anticipates continued improvement in these profitability measures and positive operating leverage for the year. Customer deposits increased on both an ending and average basis in the fourth quarter and the full year. We continue to see relative stability in non-interest bearing demand deposits, which on average grew slightly over the prior quarter. Average loan growth was modest at 1.1% on a linked quarter basis and 3.2% for the full year. Net loan losses were higher in the quarter at $36 million or 24 basis points annualized, with two-thirds of the net loss amount attributable to a single commercial and industrial credit. The level of classified balances increased by $777 million, primarily in commercial real estate. At the same time, the levels of non-accrual loans in the portfolio remained low and in fact, decreased by 18% during the quarter due to significant equity and strong guarantor support in the portfolio. We believe we are at or nearing the peak for CRE classified balances, and we continue to expect that any realized losses that may occur over the next year will be very manageable. Moving to Slide 4. Diluted earnings per share was $1.34 compared to $1.37 in the prior period and $0.78 in the prior year quarter. Provision for credit losses this quarter of $41 million had a negative impact of $0.21 per share. Slide 5 provides a five quarter view of pre-provision net revenue. On an adjusted basis, our fourth quarter results of $312 million reflect an improvement of 4% on a linked quarter basis. And as previously noted, a 19% improvement over the prior year period. Adjusted revenue growth outpaced expenses as funding cost pressures abated somewhat. Our Capital Markets business experienced strong results, and we continue to maintain expense discipline despite inflationary pressure. Looking to the next year, we are optimistic that our performance will reflect sustained growth, continued improvement in our net interest margin and increased profitability. With that high level overview, I'll turn the time over to our Chief Financial Officer, Ryan Richards for additional details related to our performance. Ryan?
Ryan Richards: Thank you, Harris, and good evening, everyone. I will begin with a discussion of the components and associated performance drivers and pre-provision net revenue. Beginning with net interest income and net interest margin on Slide 6, you will see the five quarter trend for both measures, reflecting four consecutive quarters of improvement. During the quarter, the downward repricing of interest-bearing liabilities outpaced the pressure on asset yields. Net interest margin further benefited from a reduction of $1.4 billion in average short-term borrowings. Additional details on changes in the net interest margin are included on Slide 7. On the left-hand side of this page, we provided a linked quarter waterfall start outlining the key changes and key components of the net interest margin, incorporating changes in both rate and volume. The net interest margin expanded by 2 basis points sequentially due primarily to the lower cost of funding. This is reflected in the 23 basis points and 12 basis point margin improvements in the waterfall, attributable to deposits and borrowings, respectively. Improved funding costs were somewhat offset by the declines in earning asset yields and a lesser contribution from noninterest-bearing sources of funds. The right-hand chart of this slide shows a 14 basis point improvement in the net interest margin versus the prior year quarter, also benefiting from the improved cost of deposits. Moving to non-interest income and revenue on Slide 8. Customer-related non-interest income was $173 million for the quarter, an increase of 7.5% on a linked quarter basis and 15% versus the year ago quarter. We are pleased with the record performance of customer fees for the quarter and full year, driven in large part by capital markets as we continue to realize growth from our strategic investments. Capital markets were up 36% for the full year compared to 2023. Commercial account fees were also a key contributor to increased fee revenue for the quarter and the full year. As shown on the chart on the right side of this page, both total revenue and adjusted revenue increased from the prior quarter and prior year periods due to the factors previously noted for net interest income and customer-related fee income. Our outlook for customer-related fee income for the full year of 2025 is moderately increasing relative to the full year 2024. Adjusted non-interest expense shown in the lighter blue bars on Slide 9, increased $10 million to $509 million, attributable to slight increases in compensation related accruals, legal services, and occupancy. Reported expenses also at $509 million, increased by $7 million compared to the prior quarter. Our outlook for adjusted non-interest expense for full year 2025 is slightly to moderately increasing relative to the full year 2024. Included in this outlook is the expectation that we will increase marketing spend, incur expenses related to the branch acquisition in California, and other investments in revenue generating businesses. Slide 10 highlights trends in our average loans and deposits over the year. On the left side, you can see that average loans increased just over 1% for the quarter. Consumer mortgages and C&I loans continue to be the drivers for this increase. Total loan yields declined by 23 basis points, largely in response to the reduction in short-term benchmark rates, with some partial offsets from fixed loan repricing and loan swaps. Our frontline bankers have noted increased client optimism, particularly from our commercial and small business customers. Our outlook for period-end loans balances for full year 2025 is slightly increasing relative to full year 2024. Growth is expected to be led by commercial loans, offset somewhat by managed declines in mortgages and commercial real estate exposures as pay-offs are expected to outpace new originations. Turning to deposits on the right side of the page. Average deposit balances for the fourth quarter increased modestly. As Harris mentioned earlier, we are pleased by the stability we continue to see in the level of non-interest-bearing deposits. Cost of total deposits, shown in the white boxes declined by 21 basis points to 1.93%. Interest-bearing deposits costs decreased by 32 basis points versus the prior quarter. On average, the rate on interest-bearing deposits was 2.87% for the quarter compared to 3.19% in the prior period. Interest-bearing deposit spot rate at December month end was 2.62% and the total deposit spot rate was 1.78%. Deposit repricing has been disciplined and in line with our expectations, reflecting near 100% betas on higher cost deposits. Slide 11 includes a more comprehensive view of funding sources and total funding cost trends. Left side chart includes ending balance trends. Compared to the prior quarter, total deposits grew approximately $500 million comprised of period end growth of $670 million in customer deposits, offset by a $163 million reduction in higher cost broker deposits. Period end non-interest bearing demand deposits were relatively stable and represented approximately 32% of total deposits. On the right side, average balances for our key funding categories are shown along with the total cost of funding. As seen on this chart, the total funding costs declined by 24 basis points during the quarter. Moving to Slide 12. Our investment portfolio exists primarily to be a storehouse of funds to absorb customer driven balance sheet changes. Here, we present our securities and money market investment portfolios over the last five years. Maturities, principal amortization and prepayment related cash flows from our investment securities portfolio were $749 million in the fourth quarter. Net of reinvestment, cash flows for the quarter were $370 million. The paydown and reinvestment of lower yielding securities continues to contribute to the favorable remix of our earning assets as well as a means to manage down our wholesale funding costs. The duration of the investment portfolio, which is a measure of price sensitivity to changes in interest rates is estimated at 3.4 years. While we provided standard parallel interest rate shock sensitivity measures on Slide 28 in the appendix of this presentation, we present on Slide 13 our view of net interest income sensitivity, assuming interest rates follow the path implied as of December 31, which assumes the Fed funds target reaches 4.25%. Modeled net interest income in the fourth quarter of 2025 is expected to be 6.8% higher when compared with the fourth quarter of 2024. This includes the impact of both latent and emergent sensitivity that we have broken out in prior quarters. As expectations on the rate path continue to evolve, we also provide 100 basis points shocks to the rates implied by the forward path, which suggests a sensitivity range between 4% and 9.4%. As a reminder, this slide presents a model view of rate sensitivity based on static balance sheet assumptions, while allowing for some additional migration of non-interest bearing deposits into higher cost time deposits. This view does not include expected balance sheet changes, pricing strategies, and other strategic factors included in full year net interest income guidance. Our outlook for net interest income for full year 2025 is moderately increasing relative to the full year 2024. The sensitivity associated with this guidance includes risks and opportunities, including realized loan growth, competition for deposits and deposit behavior and the path of interest rates across the yield curve. When combined with our outlook for customer-related fee income and non-interest expense, we anticipate continued positive operating leverage moving forward into 2025. We begin our discussion of credit quality on Slide 14. Harris previously noted that realized losses in the portfolio continue to be quite manageable, with annualized net charge-offs to 24 basis points of loans in the quarter and just 10 basis points over the last 12 months, with the jump in losses this quarter attributable to a single commercial credit. Non-performing assets decreased $70 million in the quarter, while criticized and classified loan balances increased by $849 million and $777 million, respectively. The decline in non-performing assets was driven largely by several successful resolutions at par, together with a large charge-off previously noted in the portfolio. The increase in classified loans was primarily driven by commercial real estate, primarily in multi-family, industrial and office. Effective loss content in classified loans remained low due to significant borrower equity, strong sponsor support and continued borrower cash flows despite the pressure on those cash flows. Recent reductions in short-term benchmark interest rates should benefit our operating costs and slow unfavorable grade migration, while the increase in term rates may result in criticized balances staying higher for longer, due to less favorable refinance opportunities. The allowance for credit losses was stable versus the prior quarter at 1.25%, and the loan loss allowance coverage compared with non-accrual loans improved to 234%. For reference in our appendix, we've included a trend for ACL, non-accrual and classified loans. As a reminder, classified loans primarily reflect a measure of probability of default while the CECL methodology used to set the reserve is a forward-looking measure of expected loss, which also encompasses loss given default. Slide 15 provides an overview of the $13.5 billion CRE portfolio, which represents 23% of total loan balances. The portfolio is granular and well diversified by property type and location with this growth carefully managed over a decade through disciplined concentration limits. Slide 16 provides a detailed view of the problem loans in our CRE portfolio. The chart on the right-hand side provides a breakout of which sub-portfolios drove increases in criticized and classified assets during the quarter. Of the $777 million increase in total classified loans, $609 million was driven by commercial real estate, primarily multifamily, industrial and office credits. The chart on the bottom left-hand side of the slide reflects the LTV distribution of classified CRE loans, with more than three quarters of the portfolio having loans to value less than 60% when examined by either most recent appraisal or index adjusted values. Overall, we continue to expect the CRE portfolio to perform reasonably well with limited losses based on the current economic outlook, the types of problems being experienced by the borrowers, relatively low loan to value ratios and continued sponsor support. Our loss absorbing capital is shown on Slide 17. The Common Equity Tier 1 ratio grew in the fourth quarter to 10.9%. This, when combined with the allowance for credit losses, compares well to our risk profile as reflected in top quartile performance and loan losses. We expect our common equity from both a regulatory and GAAP perspective to increase organically through earnings and that AOCI improvement will continue through unrealized loss accretion in the securities portfolio as individual securities pay down and mature. Of note, in the fourth quarter of 2024, we redeemed $374 million of preferred stock with coupons exceeding 9% and called $88 million of subordinated debt, the latter of which have begun to phase out of Tier 2 capital. These issuances were replaced with $500 million of lower cost subordinated notes that will positively impact earnings per share starting in the first quarter of 2025 by $0.02 to $0.03 per share. Slide 18 summarizes the financial outlook provided over the course of this presentation. As a reminder, this outlook represents our best estimate for the financial performance for the full year of 2025 as compared to the full year 2024. Now with this outlook, we expect to see positive operating leverage and improved efficiency as revenue growth outpaces funding and expense pressures.
Shannon Drage: This concludes our prepared remarks. As we move to the question-and-answer section of the call, we request that you limit your questions to one primary and one follow-up question to enable other participants to ask questions. Matt, will you please open the line for questions?
Operator: Great. Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] The first question here is from Manan Gosalia from Morgan Stanley. Please go ahead.
Manan Gosalia: It looks like deposit betas on a spot basis are running close to 60% already. Can you talk about how you expect that to progress from here? I'm assuming there is still some benefit that's going to come with a lag. But at the same time, there's fewer rate cuts in the forward curve, which might impact how much more you can do. So if you can just run through some of that?
Ryan Richards: Yeah. Thanks for the observation. I think it's fair to say that, so far, we've been pleased with the response of pricing prior response and very much in line with what we've discussed on previous calls about how we anticipated interest-bearing deposits to behave. And as you also know, there is a lag factor associated with different types of time deposits and broker deposits. So we've been in an athletic posture each time that the Fed has been in a position to reduce rates, that will remain true. And so, I think as we move forward with the prospect of another potential 25 basis point rate decrease during 2025, right now wouldn’t think of any other reason to expect and other than in-line performance with what we've seen thus far. Predicting beyond that, it would be really difficult to do at this point.
Manan Gosalia: Got it. And for my follow-up, do you have – where your CET1 ratio is including AOCI for the quarter? And is that something you need to manage to especially given the volatility that we're seeing in the long end of the curve?
Ryan Richards: It is something that we certainly are cognizant of, and I know that we periodically get the question about when might we take more additional capital actions and view is still uncertainty that is in the environment about where the Basal III end game rules reside. And even without that, there's sort of an increasing, I think, expectation that we'll be managing our capital inclusive of AOCI. So we do include in our appendix slides sort of the path that we see today with $2.4 billion in AOCI losses in the past one year, hence, about where that goes. And we certainly do think internally about what our excluding AOCI capital levels are with an expectation of continuing to grow capital so that over time that we are more sort of at median peer capital levels, so those are things that we do monitor and that we are comfortable with the glide path for any realistic expectation about what Basel II end game could be applicable for us.
Manan Gosalia: So is it fair to say that if there is more volatility in the long end of the curve that it would only really impact when you think about buybacks as opposed to impacting how you grow your loan book?
Harris Simmons: I think that's probably the case. I mean I think you'll see back in the appendix the projections with respect to how AOCI runs-off. And if you look at as kind of a proxy for this, if you look at tangible book value has been improving pretty rapidly. I think it's around 20%, 21%, something over the last 12 months. And so we expect that we don't know the final outline of what the rules are going to look like in the transition period, kind of how regulators will reengage with this. I think we'd certainly expect that AOCI will come back into capital, that's probably one thing that survive, but the timing of it is this is not entirely clear. But in the meantime, I think we feel like we're on a pretty good glide path to getting to the point where this will solve itself without having to do anything in a way of capital actions, it will probably continue to regard our buyback activity until we can see this with more clarity, that's how I think about it.
Manan Gosalia: Great. Thank you.
Operator: Our next question is from Bernard von Gizycki from Deutsche Bank. Please go ahead.
Bernard Von Gizycki: Hey, guys. Good evening. I just wonder if you could just unpack a little bit more about the rate sensitivity, the model net interest income that you have from Page 13. The implied path of the 6.8% versus the 1.4% at 9/30, obviously, the difference in the Fed funds and then the big increase in the deposit beta from 58% from 36%. Just wonder if you could just walk through any of the assumptions that kind of update the previous quarter?
Ryan Richards: Yeah. Listen, I think speaking to that deposit beta assumption that you quoted there on the interest-bearing deposits, that's pretty much in line with what we've been seeing. So that's in sync. I think one of the things that you've seen from us over time as we've grown more comfortable with the level of non-interest-bearing deposits and the behaviors there is that the implied assumption about the continued migration from non-interest-bearing into interest-bearing has been tightened over time. I think that's also allowed us to be a little bit more constructive about how we see NII sensitivity out one year, still benefiting from some fixed asset repricing that is still playing through the system and some of the latency and the repricing of time deposits with down rates still staying to benefit from that. So with a more stable and we hope and anticipate growing deposit base, supplanting wholesale fund sources. I think all that lends to a more constructive outlook.
Bernard Von Gizycki: Great. And then I know you guys have talked in the past about getting the NIM back to mid-3%. Just based on like the model assumptions here, I think that's been discussed over maybe – over a couple of years. Just any idea is that something to think about for '26? Anything you can kind of give us for timing and any expectations on how we should think about that like kind of longer term NIM outlook?
Ryan Richards: Yeah. Listen -- thank you for the question. We don't manage to a NIM outcome per se, but it's certainly true that with a more naturally sloped yield curve that we can stand to do better than what we've been experiencing before. So as we sort of look at where we've been in the not too distant past when things were more constructed that way. Having something in the mid-3s doesn’t seem like it’s out of reach. And so we think there’s potential to get back to those levels. But the timing of when that occurs is yet to be seen.
Bernard Von Gizycki: All right. Great. Thanks for taking the questions.
Operator: Chris McGratty from KBW. Please go ahead.
Christopher McGratty: Great. Thanks. Ryan, just on the balance sheet, some movement between liquidity and the bond portfolio in the quarter, could you help us, within your guide for NII help on just the total earning asset levels? Will you continue to use the bond portfolio as a source of funds. How should we be thinking about the earning assets in the next year? Thanks.
Ryan Richards: Yeah. It's a good call out, Chris. I mean I think if you look at the related slide we have in terms of investment securities, money market, kind of a share of total earning assets that stayed pretty striving through with maybe just a touch down. But as you point out, year-over-year, we've seen that nice run-off in investment securities portfolio. And as I noted in my prepared remarks, we’re going to use those cash flows to sort of pay down more expensive wholesale cost of funding or invest in the loan growth. So I think if you look moving forward, you probably would have also heard from my prepared remarks that we're starting to do a little bit more and the reinvesting of those cash flows that are being kicked off from the investment securities portfolio. So perhaps tapering a little bit in terms of the run-off on the security side. But with the prospects that we shared with you of slightly increasing loan growth, we think there will be opportunities to deploy that in organic ways to support our compliance, our customers' growth objectives.
Christopher McGratty: Okay. Great. Thanks, Ryan. And Harris, any comments about inorganic growth? Obviously, regulatory world is shifting in real time. But any thoughts about -- you have the branch deal that's going to close. Any other thoughts about potential M&A?
Harris Simmons: Well, I think that as -- first, I take it just to step back and say, if you look at our pre-provision net revenue over the last several quarters. I mean it was ramping up really nicely until Silicon Valley and Signature Bank, if it all and that did a lot of damage. We've been kind of clawing our way back is where I think about it, we’re making steady progress. And getting back into a position where we have the currencies, the profitability to do something more is certainly top of mind. We're not out looking for opportunities per se, but we're in a position. We're increasingly, I think we're in a position where we could be doing deals that strategically made sense to us. We have, for a long time, systems conversions were front and center for us getting through a lot of kind of internal renovation. And that is now really behind us, and so in that respect, I think we're in pretty good shape. I think in terms of being prepared for anything that would come with sort of crossing $100 billion threshold, if that is still a thing in the new regulatory environment that is done upon us this week. I think we’re in a good shape that way. So I'd see it as possible with anything that otherwise pencils out well makes strategic sense, but it's not something that's kind of front and center for us.
Christopher McGratty: Thank you very much.
Harris Simmons: Yeah.
Operator: Questions is from Matthew Clark from Piper Sandler. Please go ahead.
Matthew Clark: Hey. Good afternoon, everyone. Just first on the C&I credit where you realized some charge-offs. Can you just give us a sense for the type of business that is or was, and kind of what exactly happened there?
Derek Steward: Sure. This is Derek. Thanks for the question. It actually was a long-time client of the bank, a 10 or 15 year client of the bank in the retail space. It was a very unique customer actually and we had banked the company for a long time. It was purchased by a private equity company. That, I think, between pushing to grow a little faster, along with some management challenges just created challenges for the company that led to the loss. It's pretty unique business and really nothing else like it in our portfolio, but that was what the situation was.
Matthew Clark: Okay. Thank you. And then shifting gears to customer fees, capital markets up nicely. Can you give us a sense for the pipeline there? And do you think you can kind of build off that fourth quarter number given the change in environment or do you feel like, we'll step seasonally?
Scott McLean: Yeah. No. Thank you. This is Scott McLean, and I appreciate the question. We've been talking about building this business over the last couple of years and our enthusiasm for -- we've really been adding the product capabilities, the risk structure, the technology structure. And in the fourth quarter, we just saw a really nice increase in just some of the basic products, loan syndications, interest rate products and our real estate capital markets business, which we've been saying for the last 1.5 years, we've been building out and the markets haven't been overly friendly up until the last six months or so. But we're starting to see a more regular flow there, and it produced meaningful revenue in the fourth quarter. But we've said, as you know, the investment -- capital markets type businesses are lumpy. But we spent a lot on the infrastructure here. We've got the people. We have very active calling programs with our commercial bankers, very pinpointed to capital markets opportunities, current and longer term. I think all that shoe leather should benefit us in the years to come. And then, we're also seeing -- we're seeing some -- certainly some continuation of just our basic products, things like treasury management, merchant services, our corporate trust business, which we don't talk about very often, it has a very large market share albeit shrinking market, but a significant position. It's just a nice business for us. So we should see continued progress, we think, because of all the hard work we've put into capital markets.
Harris Simmons: And they start into the year with a solid pipeline. I think that’s the other thing I would add. So I think everything is therefore to continue to grow nicely.
Matthew Clark: Great. Thanks for the color.
Operator: Next question is from Christopher Spahr from Wells Fargo. Please go ahead.
Christopher Spahr: Hi. Good afternoon. So this question is kind of related to the -- just obviously, the election and post-election and just the kind of the change in attitude (ph) and I see there is a big pop in energy, oil and gas growth, Slide 24, especially when you compare to the prior quarter. Just is there -- how much do you think that is -- might be election related? Is there more momentum to that? And what other areas could might growth commercial loan -- like it should be a little bit higher than moderate for the year?
Scott McLean: Sure. This is Scott. I'll take that. Our energy portfolio outstandings were at about $3 billion, four, five years ago. They trended down during the 2020 downturn price volatility. We've been around $2 billion. And basically, we saw a $100 million increase in that portfolio from a little bit below $2 billion to a little bit above. And I think we have good opportunities there, pricing and credit structure has never been better as many banks have exited the market, and we're a long-time player with a long-time reputation. So we continue to hope it will be a nice source of C&I growth going forward. In terms of loan growth, in general, we were up about $2.1 billion average loans year-over-year, about a 3.5% increase. And our general sense is to your political comment, that small business, medium-sized business owners, they're just a little more optimistic. I think there's a sense that regulatory issues that confront small and medium-sized business could have been, maybe not much, but some. And so, I think we're a little more optimistic about C&I lending. We don't think our one to four family originations that go on the balance sheet will be strong in the coming year. So that will be a little of a drag, but we think C&I for the reasons you said and others has an opportunity to grow.
Christopher Spahr: And then for my follow-up, this is for Harris. So Harris, you spent some time talking about regulation in the 2023 annual report calling out Basel III in that long-term debt proposal. I mean, obviously, you kind of talked about that just now, but what other areas of -- we'll call it, just comment [Technical Difficulty] approach do you might benefit for banks your size? Thank you.
Harris Simmons: Well, I think sometimes, the death from 1,000 cuts is effective as having your head (ph) taken off. And the number and diversity of things coming out of the CFPB, some of which, I think of and just beyond the mark. You're seeing that in the legal challenges, etc., that have been made with respect to a lot of these things. The amount of time and energy that goes into things like, just internally, trying to prepare for the kind of climate disclosure regime that was coming at the industry. And I think a lot of things like that probably we'll get -- we just fade into the background for a while at least, maybe not permanently. But -- and I see what Travis Hill, the agenda he laid out, I think yesterday, it's just very sensible. It's meat and potatoes. It's sort of back to basics and I think for many banks, our own included, we've done a lot in the back to basics kind of categories of just building risk infrastructure commensurate with our ability to grow larger. And so just being able to focus outwardly, the message that I have to our own people, as I'm making kind of the circuit recently is that we've been very inwardly focused. I think we have -- I think the industry has, in a lot of respects over the last decade. And I think the message coming out of the new administration and the people coming in to the agencies is that we want a safe and a sound industry but one that facilitates growth. And that's why I find a self-optimistic that we're going to see more growth. I think it's going to be a really conducive environment for it. And I think there are worries of tariffs, things like that, that certainly could derail growth in the economy. But clearly, the crowd and control wants to see growth. It's a very growth oriented message that we're seeing coming from these people. So I'm very hopeful.
Christopher Spahr: Thank you.
Operator: Next question is from Anthony Elian from JPMorgan. Please go ahead.
Anthony Elian: Hi, everyone. For your loan growth guide of slightly increasing, is that more half weighted in 2025 or do you expect the level of loan growth you've seen in the past couple of quarters to continue in the first half of this year?
Harris Simmons: I know it's through the year. It's not so strong that it's going to matter a lot whether it's back half weighted or not. I expect to see pretty steady growth through the year personally.
Anthony Elian: Thank you. And then for my follow-up, can you just provide more color on the increase in classified loans? I know you called out multifamily, industrial and office. But was that broad based across your footprint and any large credits that drove the increase this quarter? Thank you.
Derek Steward: Well, Anthony, this is Derek. To answer the second question, what it was pretty granular in with the downgrades and the increase in classified or what was not a large -- just one large credit that increased. It also was distributed across our footprint in the geographies. As stated in the slide, $609 million were from -- was from CRE and $254 million was from multifamily, with $242 million from industrial. So that really drove it. And the story for industrial and multifamily is exactly what we said last quarter. It's construction delays, that are occurring are slower lease-up performance to plan issues, increased costs and just increases in expenses as well, combine that with the interest rate increase, and we’re seeing it moves to classified. At the same time, it does seem like it’s a matter of timing and most of these credits will work their way through. It’s just a little longer to reach stabilization and performance. And given our loan to values, we expect that they’ll just perform and either be able to be upgraded through progress or refinanced out over time.
Anthony Elian: Thank you.
Operator: This concludes the question-and-answer session. I'd like to turn the floor back to management for any closing comments.
Shannon Drage: Thank you, Matt, and thank you to all for joining us today. If you have additional questions, please contact us at the e-mail or phone number listed on our website. We look forward to connecting with you throughout the coming months and appreciate your interest in Zions Bancorporation. This concludes our call.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you again for your participation.